Operator: Welcome to the Bottomline Technologies Third Quarter 2009 Earnings Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question and answer session, and instructions will be given at that time. As a reminder, this conference is being recorded. Statements made today may include forward-looking information subject to risks, uncertainties, and other factors that could materially affect actual results. For further information, please see Bottomline’s report filed with the SEC pursuant to the Securities Exchange Act of 1934, which are available at the SEC website, www.sec.gov. During the remarks references to the Bottomline financial results are related to non-GAAP results. These results are also referred to as core operating income, core income, net income, and core earnings per share in our earnings release. A reconciliation of the GAAP net income to core net income is provided in the earnings release. These results exclude amortization of intangible assets, stock compensation, and acquisition related expenses. Throughout this call, when they refer to their financial results it has that meaning. Bottomline will be providing forward-looking guidance on the call. A summary of the guidance provided during the call is available from the company upon request. I would now like to turn the conference over to our host Mr. Rob Eberle. Please go ahead.
Rob Eberle: Thank you, operator, and good afternoon everyone, and thank you for your interest in Bottomline Technologies, and welcome to our third quarter fiscal '09 earnings call. I am joined by Kevin Donovan, Chief Financial Officer, who will provide a detailed review of the third quarter results and our guidance going forward. We will be available for questions following Kevin’s remarks. The third quarter was really a tremendous quarter for Bottomline. In the context of an extraordinarily difficult environment, we had strong execution in both strategic objectives and operating results. Strong from a strategic perspective with a major new contract and relationship secured, and strong from an in quarter execution standpoint with solid performance against our key metrics driving record EBITDA, record operating income, and record backlogs. The results in the quarter demonstrate the value of our technologies, the quality of our people, and the strength of our business model, but the bigger news may be where we are going and the fact that we are positioned for higher earnings and greater profitability in the current fourth quarter and beyond based on the successes we had in Q3. I will give a brief overview of the quarter’s results and then provide remarks in key customer wins and activity, including the major new relationship I referenced. I will conclude with some perspective on the economic environment, our business model, and prospects ahead. Turning to the third quarter financial highlights, first, for revenue orders and backlog. Revenue for the third quarter was $33.3 million. That was impacted by fluctuations in currency, and on a consistent currency basis year-over-year revenue growth was 15%. 64% of revenue or just shy two-thirds was recurring. Orders were $44.2 million. Orders were up 29% and on a consistent currency basis were up 39% year-over-year. This follows last quarter’s strong orders of $43.6 million. Orders is a leading indicator and a measure of the business health, a view of future revenues. Orders are an indication of the business market opportunity, competitive position, and success in engaging with the customer. Orders ensures our future financial performance. Driven by the strong orders, backlog at quarter’s end was a record $83 million, up 44% from a year ago. Our [lives] backlog gives us confidence and visibility in the future revenues and profits. Turning to profit, our key operating metrics EBITDA, operating income, and EPS, all moved forward shuffled to record levels. EBITDA was $5.2 million, a record and an increase of $1 million or 25% from the prior quarter. Operating income was also a record and increased $1 million or 32% from the prior quarter to $4.2 million, and EPS was $0.15, which was above the high end of our guidance. Finally, cash. Cash flow from operations was over $7 million in the quarter, and with the strong cash flow, we ended the quarter with $41 million in cash. The strength of the financial results shows a company executing on its plan and opportunity. So, let me now turn to some of our customers' wins and activity in the quarter. Just prior to the end of the quarter, we were officially awarded a significant project and signed a significant contract with one of the largest financial companies in the country. Bottomline was chosen as the technologies to which the majority of client payment initiation [vertical]. In this capacity, Bottomline will play a key role in reinventing the experience corporate customers have when interacting with this bank. This win is significant for us for numerous reasons. First, this is a high profile account in a very competitive market. Bottomline's selection by this clear industry leader, and in this market, there are clear winners and losers and this is clearly one of the winners. It is a strong testament to our technology and team. From a technology standpoint, the requirement is for an SOA platform, confirming the strategic direction and technology roadmap we committed to and invested in some while back. Finally, while the size and compelling economics would be welcome in any market op, it is particularly comforting to secure this business in the current environment. We are truly delighted with this new high profile and critically important relationship. We will be working intently over the next several quarters to ensure smooth implementation process. With the success throughout that project, we believe we can advance the relationship and potentially secure additional revenue opportunities in the future. While we added a new strategic relationship in Q3, we also broadened our footprint within another important customer in Bank of America. During the quarter, Bank of America contracted with us to expand web service to include payment functionality for transactions originating in Latin America, Canada, and Europe. This will allow the bank to migrate customers still on legacy systems and reduce the cost and complexities associated with these older workstation products. Turning to a different market, we have enjoyed growing sales in the healthcare space. That scenario while not insulated, in some ways we moved from some of the more of severe aspects of this recession. A good example is Sutter Health, one of the nation's leading not-for-profit networks of community based healthcare providers, delivering and caring in more than a 100 Northern California communities. Sutter chose Bottomline to expand their business office in patient based forms automation capabilities. Sutter, an existing customer, chose to make this additional purchase because of our depth of functionality, a proven track record of success and our ability to integrate with the existing healthcare information systems. Finally, we added two more new customers to our Legal eXchange platform, West Bend Mutual Insurance and Country Mutual Insurance. Both are ranked in the top 100 of A.M. Best 100 top property and casualty insurers. They both chose Legal eXchange to eliminate paper invoices and increase efficiency of the new bill review process, but beyond that they share some particular motivations. West Bend sought to leverage a platform to better understand the performance of outside counsel, and Country placed a high value on our ability to integrate with existing systems and accommodate their current approval workflow process. Each time we had customers to Legal eXchange, we had revenue to a relatively fixed cost basis platform. Over time, it has become a highly profitable model with strong customer retention. In fact, it is one of the vehicles that allows us to produce strong profits and cash flows in this environment. So, with that, let me turn to some remarks on this environment. Everyone knows this is a challenging time. I want to provide some color on what we are experiencing, where we are and are not impacted, and what we see ahead. We have had deals cancelled or delayed including programs and purchases which we expected to contribute revenue in the quarter, that is the same as everybody else, but we are still delivering in part due to our business model and in part due to the nature of our customer relationships and offerings. We find new projects that are not customer facing or at the greatest risk. Fortunately, customer and revenue generating projects and programs like the bank platforms I spoke off are at the least risk. Expansion and enhancements with existing customers with a near-term ROI are also relatively secure. Finally, our results drew a large degree benefit from our business model and significant levels of recurring revenue. As we look ahead, I am frankly pretty exited. Given the results we are achieving in this economy, the investment we are continuing to make in our technology and platforms and the new meaningful relationships we are securing on the upside with any sort of improvement, we are positioned very, very well. So, in summary again, I would say a tremendous quarter, a fantastic new win, records in our profit metrics, continued strong cash flow, and a big backlog providing clear visibility to Q4 and well beyond. While I hope like everyone else for an upturn in this economy, I am pleased with our Q3 results and look forward to and I am confident we will achieve even better results in the quarters to come. So, with that, I will turn it over to Kevin for a detailed review of the financials, and then we will be available to answer any questions that may be on the call after that.
Kevin Donovan: Thank you, Rob. We had a very good third quarter, particularly in this challenging environment with revenue of $33.3 million and EPS of $0.15, which was above the high end of our guidance range. We also exceeded our profit objectives for the quarter with 25% growth in EBITDA and 32% growth in operating income. On a consistent currency basis, revenue increased 15% from the prior year. One of the highlights in the quarter was the continued demand for our products as evidenced by strong order flow from both new and existing customers. As Rob highlighted, we signed a major contract with one of the world’s largest financial services firms which clearly demonstrates our capabilities in the global cash management space. The strong order volume helped drive a record backlog of $82 million, representing 44% year-over-year growth. The size and predictability of our backlog provides us with a high level of visibility into our future revenue streams. The balance sheet remains strong with $41 million in cash, a $6 million increase from last quarter. The increase in cash was driven by cash flow from operations in excess of $7 million. As we look forward, we are very confident in our business and future financial outlook. With clear visibility in the future revenue results, we are raising our forward-looking guidance. I will provide additional details on the increase in guidance later in the call. Now, for a more detailed review of the financial results. During the quarter, we had orders of $44.2 million. This level of orders represented 29% year-over-year growth, 39% growth on a consistent currency basis, and our book-to-bill ratio of 1.3. In fact, on a year-to-date basis, we have generated a $120 million of orders, while recognizing a $103 million revenue, a clear indication of the strong health of our business. One of our key revenue metrics is recurring revenues. In the quarter, recurring revenue was $21.4 million, representing 64% of overall revenue. Recurring revenue was derived primarily from software maintenance and subscription and transaction revenues. Subscription and transaction revenues were $7.5 million in the quarter, 23% of overall revenue. A major component of this subscription and transaction revenue is our Legal eXchange offering. Recurring revenue for Legal eXchange increased 18% from last year. During the quarter, we also signed two new Legal eXchange deals. While these deals do not contribute to revenue this quarter due to the subscription revenue model, they have positioned us for continued future revenue growth. During the quarter, gross margins were 58%, which was up 2% sequentially and year-over-year and ahead of expectations. The margin expansion is the result of both operating efficiencies and our emphasis on higher margin offerings. We see an opportunity to expand our margins by a further 100 to 200 basis points over the next several quarters. Turning to operating expenses, non-GAAP operating expenses were $14.9 million in the quarter, down 7% from last quarter. Operating expenses declined approximately $400,000 from the second quarter as a result of exchange rate declines. As part of our overall expense management, we are also making headcount adjustments this quarter in certain areas where we have seen a top line impact from the current economic environment. We expect to incur a GAAP charge of approximately $1.5 million in the fourth quarter related to these reductions, which we will exclude from our core operating results. The reductions generate expense savings which will have a positive impact on earnings in the fourth quarter. We took another step forward in income during the quarter with a sequential increase in all of our key process metrics. Operating income increased 32% over the prior quarter to $4.2 million, while EBITDA increased 25% to a record $5.2 million. With at least a similar level of EBITDA expected in the fourth quarter, we currently trade at an EBITDA multiple of 7. Operating margin was 13% in the quarter, the highest level in five plus years, and we continue on a clear track towards our 20% operating margin target. Core net income was $3.5 million or $0.15 per share. From a balance sheet perspective, the company ended the quarter with $41 million in cash and short-term investments, a $6 million increase from last quarter. Our cash balance equates to $1.70 per share. DSO was 62 days, a decrease of 10 days from December. The strong cash position was driven by over $7 million of cash flow from operations. Through the first nine months of the fiscal year, we have generated $17.8 million of cash flow from operations, exceeding the $16.2 million of cash flow we recorded for all of last year. Free cash flow was $7 million in the quarter and $15.4 million on a year-to-date basis. The strength of the cash flow numbers is another indicator of the success we had in the quarter. Backlog at the end of March was $82 million, a 44% increase from last year. Backlog representing contractually committed future revenue amounts increased $7.2 million from last quarter reflecting the strong order flow during the quarter. Our business remains strong and we have seen continued customer demand for the solutions we provide as evidenced by strong order flow and an active pipeline. We have solid visibility into future quarters with the predictability of our revenue model and the size of our backlog. At the start of the quarter, we have visibility towards over 80% of the revenue we will ultimately record during the quarter. I will take a moment and explain this in more detail. First, our recurring revenue, which is comprised primarily of software maintenance and subscription and transaction revenue represent 64% of overall revenue. The highly predictable nature of this recurring revenue provides a strong and stable revenue foundation to build upon each quarter. In addition to our recurring revenue, we also have visibility at the outset of the quarter into certain amounts of software that will be recognized and professional services that will be performed during the quarter. Using the third quarter as an example, approximately 17% of our revenue came from software and services agreements that existed at the beginning of the quarter. Combining the recurring revenue with the software and services backlog provides us with revenue visibility of over 80% at the beginning of the quarter. With this high level of revenue visibility, we are very confident about our forward revenue outlook. We are expecting a consistent level of revenue over the next several quarters, each within a range of $33 million to $35 million. Turning to margins, we are expecting to expand gross margins by 50 basis points in the fourth quarter and an additional 50 basis point improvement in the September quarter. From an operating expense standpoint, we are making adjustments and driving efficiencies which will drive incremental levels of profitability. The combination of our revenue visibility, margin expansion, and operating expense management provides us with a high degree of confidence on driving higher earnings levels in the fourth quarter and beyond. As a result, we are increasing our core earnings guidance over the next several quarters to a range of $0.16 to $0.18, an increase of $0.03 to $0.04 from our current guidance. We look forward to reporting our continued success and increased earnings in the quarters to come. In summary, we had very good quarter with a 15% increase in revenue on a consistent currency basis, a 29% increase in orders, a 32% increase in operating income, and over $7 million cash generated from operations. As we look forward, the predictability and visibility of our recurring revenue model combined with continued customer demand for our products and significant backlog gives us a high degree of confidence in our future financial outlook. We will now open up the call for any questions.
Operator: (Operator Instructions). Our first question is from the line of John Maietta. Please go ahead.
John Maietta - Needham & Company: Okay, thanks very much. First question I had Rob is, with regard to this big bank customer that you guys won, how competitive was the deal was internal building option? Do you still think that from the big bank and if you can give us some sense as to how long the sales cycle was?
Rob Eberle: Yes. Internal build was in this particular case an option, but that is definitely less of a competitive force or dynamic in most instances we are encountering in the market generally. The process began actually, last August timeframe was the beginning of the initial rounds. Six made it to the next round, then down to three, and then continued on in completing that this quarter. So, we are delighted with this win. It is a fabulous win for us. It is perfectly aligned with our technology roadmap, and we think we have got the opportunity with execution which we will do over the next several quarters in the implementation to build a tremendous foundation customer for Bottomline.
John Maietta - Needham & Company: For a customer of this size, would they want to see a year's worth of execution before they could potentially come back for more or…?
Rob Eberle: No, it is going to be driven more around what the timeframe on the implementation and other items are. So, the project is going to proceed and their requirements are going to proceed. I think what the opportunity is, just to move from one of the choices to that choice would truly be the incumbent. Frankly, we are well positioned for that today.
John Maietta - Needham & Company: Okay. Now the second question I had was with regard to some of the investments you had talked about last quarter in the support areas and in sales and marketing and so forth, do you still moving forward with those initiatives?
Rob Eberle: There is really sort of a mix going on in the business. I referenced areas we are impacted and the areas we are not. So, an example of places we are making additional investment in customer facing, people and technology around for example, the relationship we have just won. Some of our other larger bank relationships, technology around our invoice settlement networks, for example, we are making investment there. The other hand we have seen some areas that we are impacted by the economy with deals pushed out, little tougher road going forward. So, we are going to trim a bit in those areas which is what Kevin referred to.
John Maietta - Needham & Company: Okay. Then just last question I had was with regard to M&A. Have you seen some of these smaller or what I would characterize as maybe lifestyle businesses really start to struggle, and have you seen interesting opportunities come across your desk or not quite yet?
Rob Eberle: I can't really comment on what comes across our desk. That just gets tough; we end up commenting on the pipeline specifically, but I will make a comment on the M&A market. I think the private companies are always slow to recognize the new realities of any change in the economy. Public companies are reminded each day as they check the stock price, but private companies have a way of attaching to earlier times or earlier valuations, and I don’t think we have seen private companies move all the way to today's market. I don’t think we have completed that. I think you have seen it to some degree whether struggling companies or funding becomes an issue, but on self sustaining private companies, I don’t think they have fully adjusted to today's market valuations.
John Maietta - Needham & Company: Okay, thanks. Thanks very much guys.
Operator: Our next question comes from John Kraft. He is with DA Davidson. Please go ahead. Your line is open.
John Kraft - DA Davidson: Hi, Rob. Hi, Kevin. Nice work today.
Rob Eberle: Thank you.
Kevin Donovan: Thank you.
John Kraft - DA Davidson: Regarding this new big deal, did you say it was a domestic bank?
Rob Eberle: Yes. That is as much as we have said. Yes.
John Kraft - DA Davidson: Were the competitors, the competitor bidders, I should say also domestic?
Rob Eberle: There were competitive bidders from around the world.
John Kraft - DA Davidson: Presumably, this would be a license to contract, correct?
Rob Eberle: Yes. It is licensed, but like all our contracts in this space, there are software license and services that are spread over a pretty, the period of implementation. So, as Kevin was alluding to we get great visibility out of such agreements, but it is licensed model, yes.
John Kraft - DA Davidson: Three or four quarters type of implementation?
Rob Eberle: Right
John Kraft - DA Davidson: Before add-ons. Well, obviously, congrats on that. I presume that is part of the uptick in the bookings number?
Rob Eberle: Yes, that had a contribution in the orders, absolutely.
John Kraft - DA Davidson: Probably, you don’t want to break that one out as far as dollar amount?
Rob Eberle: Obviously, we haven’t said the name and the amount. The most important thing to us is the relationship with the customer, and we have been asked not to indicate the name or amount. So, we are going to abide by that, which at the end of the day is in the best interests of Bottomline and investors.
John Kraft - DA Davidson: That is fair. I guess, last quarter you really kind of highlighted how diverse the bookings were. Is it fair to say that this was obviously quite a big one, but other than that this was a pretty diverse bookings quarter?
Rob Eberle: No, it was diverse, but it certainly had a bigger order. Last time, you are right. We didn’t have anything over, I think about 4% or so, and this was certainly a larger, but I don’t wouldn’t tell you dominated orders either. We saw strong demand in most areas. The area that is tougher is new software licenses to new customers, and that is a space that, I think it is tough for letting for everybody. That is where we are making some adjustments, but overall, when you look at our business model, the fact that we have got many platforms revenue, customer facing and revenue, we think we are doing pretty well in the market.
John Kraft - DA Davidson: Yes, looks like it. As far as SWIFT, any update there on uptick?
Rob Eberle: No. Thank you for mentioning that and asking about it. SWIFT is going real well. There were today at over 100 customers that are on the platform. We are in the process. We have completed elements of the next enhancement release and we are now set terms on the specifics functional spec on the [Release 2], and are in the process of implementing that. I had a chance to meet with the senior team and really excited about that and that is the technology and its capability, but some of the ideas that they have and the fact that they are actually right on track with the plan of what they had expected for customer adoption. So, great relationship, implementation going real well, and most important is ultimately get to revenue share piece beyond our subscription as they are on track on their plan.
John Kraft - DA Davidson: I mean, speaking of that, is there better visibility? It sounds like on when you might start reaping some of those revenues?
Rob Eberle: Well, there are two components. First, we would get to our subscription revenue…
John Kraft - DA Davidson: Right.
Rob Eberle: There is a floor before we get to revenue share. So, subscription revenue will be when we have completed the full next phase and that is going to be about the end of the calendar year. The revenue share will be a good chunk beyond that, but the opportunity on revenue share is really if this can get to level they believe becomes millions of dollars.
John Kraft - DA Davidson: Okay. Then just lastly on the retiring of Peter Fortune; do you have some sort of a succession plan or some people in line that…
Rob Eberle: Yes. I mean it is actually a complement to Pete as Pete has been a tremendous contributor to Bottomline throughout his career. One of things he has done a fabulous job of this building the team, the team that has worked with him for him. So, there are a number of people; Nigel Savory, Paul Fannon, Chris Peck, and others in Europe; Marcus Hughes, for example, that we brought on in the global marketing role is also European team. One of the things we have seen a change in Bottomline that has occurred, a lot of it that Pete is driving by the way is that we are operated as much one company today. So, we have one development team that is striving all of our markets, and so we don't see replacing the President of Europe or a separate COO. We are just a tighter organization in many ways today, but I will, since you brought it up, thank Pete publicly and the call for just a tremendous contribution to Bottomline over the years.
John Kraft - DA Davidson: Okay. That's all I have. Again, nice work, guys. Thanks.
Rob Eberle: Thank you.
Kevin Donovan: Thank you.
Operator: Our last question comes from the line of Melissa Moran. She is with Thomas Weisel Partners. Please go ahead. Your line is open.
Operator: Melissa, are you there?
Melissa Moran - Thomas Weisel Partners: Hi, good afternoon. So, my first question actually, I just wanted to review some of the revenue tailwinds and headwinds over the next couple of quarters. Sounds like you have got this new bank customer, and then I know you have the maintenance haircut that should be rolling off I believe either partially in the June quarter and at least fully in September, and then a couple of new Legal eXchange customers. So, I am just trying to understand those tailwinds and if there are any headwinds we should be thinking about and how this sort of think about that in the context of your guidance which is kind of flattish to modestly up revenues sequentially?
Rob Eberle: Sure. The first thing I would say is the market is a headwind. I mean, I would tell you that I think, Bottomline is not alone and we are operating in a very -- I think all companies today are operating in a very difficult economic environment. So, there is certainly is an element of headwind just in the economy. In terms of what will happen with large contracts, the other contracts will roll off over time. So, while we have one large deal, you will see other pieces that would go away. The Legal eXchange customers, those are great customers to have, but they certainly, they are not multi million dollar customers that are moving the needle individually. What the power of that model is that you just continue that customers and incrementally you are adding a piece, you are adding a piece, you are adding a piece, but it is not common. There are instances, but it is not common than any single customers making a tremendous move or been a what fall under the category of a tailwinders as you have indicated. I don't know, Kevin, if you want to add anything else on that.
Kevin Donovan: I think that is very accurate. We see new increasing revenue from our Legal eXchanges as we go forward as we add customers on to a fixed cost basis, so we can drive incremental profitability with those new customers.
Melissa Moran - Thomas Weisel Partners: Okay, that is helpful. Then I think you have had another large bank customer, a project that ended last quarter. Am I correct in remembering that something was rolling off and if so about how much did it impact revenue in the March quarter?
Kevin Donovan: No, we didn’t have any major projects finishing up in this quarter. So, there wasn’t anything here. Probably, you would have to go back six or nine months to won a major project completed.
Melissa Moran - Thomas Weisel Partners: Okay. Then a question on your orders; do you have a comparison for that in the prior year including Optio so we can get kind of a good year-over-year growth number for that?
Kevin Donovan: Yes. We don’t have an orders number for Optio in the time period pre-acquisition. So, there isn’t a comparative purpose number that we would have.
Melissa Moran - Thomas Weisel Partners: Okay, great. Thanks. That’s all my questions.